Operator: Good day, and thank you for standing by. Welcome to the Q3 2025 DENTSPLY SIRONA Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Wade Moody, Investor Relations. Please go ahead.
Wade Moody: Thank you, operator, and good morning, everyone. Welcome to the DENTSPLY SIRONA Third Quarter 2025 Earnings Call. Joining me for today's call is Dan Scavilla, President and Chief Executive Officer. I'd like to remind you that an earnings press release and slide presentation related to the call are available in the Investors section of our website at www.dentsplysirona.com. Before we begin, please take a moment to read the forward-looking statements in our earnings press release. During today's call, we may make certain forward-looking statements that reflect our current views about future performance and financial results. We base these statements and certain assumptions and expectations on future events that are subject to risks and uncertainties. Our most recently filed Form 10-K and any updated information in subsequent Form 10-Q or other SEC filings list some of the most important risk factors that could cause actual results to differ from our predictions. On today's call, our remarks will be based on non-GAAP financial results. We believe that non-GAAP financial measures offer investors valuable additional insights into our business' financial performance, enable the comparison of financial results between periods where certain items may vary independently of business performance and enhance transparency regarding key metrics utilized by management in operating our business. Please refer to our press release for the reconciliation between GAAP and non-GAAP results. Comparisons provided are to the prior year quarter unless otherwise noted. A webcast replay of today's call will be available on the Investors section of the company's website following the call. And with that, I will now turn the call over to Dan.
Daniel Scavilla: Thanks, Wade, and good morning, everyone. Let's start with Slide 3. I recently completed my first 90 days as CEO of DENTSPLY SIRONA. During my first week at the company, we held the Q2 '25 earnings call, where I shared my listen, learn, lead approach, along with my initial thoughts on the organization's focus areas. Since then, I've continued to assess DS through meetings with customers, partners and employees, where I've been learning our strengths and areas of improvement. These discussions have helped validate initial observations, gain alignment with my leadership team and shape our Return-to-Growth action plans to improve performance and deliver sustained profitable growth over the next 24 months. This plan requires us to go deeper, move faster and be bolder to reshape and improve the customer experience. I believe the potential for DENTSPLY SIRONA has never been greater, and we have at our fingertips what we need to achieve this. First, I'll discuss our Q3 '25 results and full year outlook. Then I'll share a deeper view of our Return-to-Growth action plan and its 4 key pillars. Before I begin, I want to note that as announced in this morning's press release, Matt Garth, our Chief Financial Officer, has departed the company. This action is not the result of any dispute, disagreement or financial reporting matter. Matt was not the right fit for me and where I plan to take the enterprise in the finance organization. He is a talented [ finance ] leader, and we wish him the very best. A transition plan is in place to ensure continuity and that we maintain financial discipline as we select the right leader to join us driving DENTSPLY SIRONA forward. Moving to Slide 4. Let's discuss our quarterly financial results. For Q3 '25, global sales were $904 million, decreasing 5% as reported or negative 8% on a constant currency basis. Excluding the Byte impact, sales declined 5%. And as disclosed in last year's Q3 earnings call, Q3 '24 included a $24 million onetime dealer prebuy in advance of the U.S. ERP implementation. Adjusting for this onetime headwind, Q3 '25 sales on a constant currency basis were down 2.5%. Adjusted EBITDA was 18.4%, up 50 basis points versus prior year, driven by lower sales on favorable product and geography mix and tariff impacts that negatively impacted gross profit. This was offset by reduced spending in OpEx. Non-GAAP earnings per share was $0.37, down $0.13 versus prior year. Approximately half the EPS decline reflects the impacts of sales mix and tariffs on gross profit with the remaining half driven by higher non-GAAP tax rates in the quarter of 32% versus 16% last year. This is due to shifts in profit between the U.S. and international markets. Q3 cash from operations was $79 million and ending cash balance was $363 million. We recorded a $263 million noncash after-tax charge related to the impairment of goodwill and intangible assets. These impairments were driven by the impacts of tariffs and lower projected volumes of equipment, implants and prosthetic products, particularly in the U.S. In the third quarter, DENTSPLY SIRONA returned $32 million to shareholders through dividends with $96 million returned to shareholders through dividends year-to-date. Now moving to Slide 5. For Q3 results from a regional perspective, U.S. sales were $291 million, down 22.2% versus prior year, driven by lower sales throughout Essential Dental Solutions, CAD/CAM, Imaging and Implants, partially offset by strong performance in treatment centers and in health care, our Wellspect business, which delivered 22.3% growth. Adjusting for the Byte impact and the onetime $24 million prior year, U.S. sales were down 9.7%. European sales were $382 million, increasing 9.9% as reported or 2.6% on a constant currency basis, driven by growth in Connected Technology Solutions and Labs, partially offset by softness in restorative. The U.K., France, Italy and Spain had strong constant currency growth, partially offset by lower sales in Switzerland. Germany sales were flat in Q3 versus prior year. Wellspect sales grew 5.3% in Europe on a constant currency basis. Rest of World sales were $231 million, down slightly versus prior year, with strength in Essential Dental Solutions offset by declines in Connected Technology Solutions and Implants. Strength in Australia and India were offset by softness in Japan. Wellspect grew 87.3% off a small base in Q3. Now turning to Slide 6 for our business segment results. CTS sales on a constant currency basis decreased 7% versus prior year. Equipment & Instruments increased by low single digits, reflecting growth of Imaging in Europe and Rest of World and growth of treatment centers across all 3 regions, partially offset by a decline in Imaging in the U.S. E&I growth was offset by double-digit decline from CAD/CAM in the U.S. and Rest of World. Distributor inventory levels for both CAD/CAM and imaging products remain below our historical averages. Moving to EDS, which includes Endo, Resto and preventative products. Sales on a constant currency basis decreased 6.2%, with the decline entirely attributed to the previously described dealer prebuy. Shifting to OIS. Sales in constant currency declined 17.1%. Excluding the Byte impact, OIS sales were down 5.8%. In Ortho, SureSmile declined low single digits in the quarter as we saw softness in the U.S. market, partially offset by growth in Europe and Rest of World. IPS declined mid-single digits in the quarter, driven by lower implant volumes in the U.S. and China. We saw a slowdown in the activity in the Chinese market in anticipation of the implementation of the second phase of the VBP program. In Europe, IPS increased slightly. Wrapping up our segment results. Sales in constant currency for Wellspect Healthcare increased 9.3% as we saw growth across all 3 regions. Now I'd like to discuss the outlook for the remainder of 2025 on Slide 7. The company is revising its 2025 outlook based on the results of the third quarter, tariff impacts and targeted investments we've already begun making in key areas to accelerate growth momentum in 2026. The revised outlook includes net sales in the range of $3.6 billion to $3.7 billion, and constant currency sales are expected to be in the range of negative 5% to negative 4% year-over-year. Adjusted EPS is expected to be approximately $1.60. Now on Slide 8, I'd like to look forward and discuss our detailed Return-to-Growth action plans designed to improve performance and deliver sustained profitable growth over the next 24 months. This will be achieved by going deeper, moving faster and being bolder, and based on 4 pillars: putting customers at our center, reigniting the U.S. business to win, empowering people to power performance, and evolving operations to fuel innovation. I will now discuss the actions we will take in each pillar. Putting customers at the center. What I've learned in my first 90 days is in our businesses where the customer is the center of everything we do, we win. I know that may seem obvious, but one of the reasons we're not growing as an enterprise is that we have some parts of the company where we can serve the customer far more effectively. By putting the customer at the center of everything we do, every employee and every team at DENTSPLY SIRONA, now starts with the mindset of delivering a better, more positive, easy to do business with customer experience to earn their share and loyalty. The customers defined as any practitioner who uses our products regardless if they purchase directly through a DSO or a dealer. They're our customers, and we will partner with DSOs and dealers to deliver the timely, consistent support they need. We will achieve this by creating a global customer service and technical service organization that delivers high-quality support worldwide, while maintaining the agility needed to meet local market needs. We will also enhance our support for customers and our field-based employees through simplifying interactions, speed of response and increased strategic investments. The field is and will become even more so a strength of our company, the tip of our spear. Reigniting the U.S. business to win. Second, we're making the return to health of our U.S. business a top priority with a comprehensive plan to reignite growth and strengthen our commercial foundation. Under the leadership of Aldo Denti, our new Chief Commercial Officer, we're aligning our teams, accelerating decision-making and positioning DENTSPLY SIRONA to compete and win with greater speed and focus. Here are specific actions we're taking to drive this plan forward, many of which are already underway, including organizing our commercial teams to better reflect the requirements of the market with the aim of enabling improved coordination, clear strategic focus and stronger competitiveness supported by defined decision-making processes, performance indicators and accountability frameworks. As mentioned before, combining customer service and technical service into a single globally led team under experienced leadership to improve the customer experience and strengthen coordination with our dealer partners. Pursuing a multichannel approach to retain direct sales in specialty areas while reengaging and expanding our network of U.S. dealer partners in CTS to accelerate market penetration. We're also aligning with DSOs by offering simpler and more comprehensive support such as all-in-one de novo offerings, which leverages the breadth of our portfolio. Investing in our sales team to fill open rep positions, expand coverage and deploy growth-based compensation and retention tools to better serve existing customers and acquire new ones. Increasing our investment in clinical education for dental professionals, focusing on advanced training areas like connected dentistry and single-visit care. At the same time, we're strengthening our sales training to better reflect the needs of dental offices, giving our teams a deeper understanding of practice workflows and the tools to deliver tailored solutions that improve both clinical and operational outcomes. The initiatives outlined are focused on North America, but have clear applicability across the EMEA and Asia Pac. We plan to increase regional investments in 2026 to accelerate growth. At the same time, we're exploring new go-to-market models in Asia Pac to strengthen CTS market penetration in Japan and refining our strategy in China. As the U.S. business gains momentum, we will strategically shift additional investments towards EMEA and Asia Pac. Empowering people to power performance. To lead DENTSPLY SIRONA through this turnaround, we're strengthening our organizational foundation to empower our people to power performance. Our teams need the right tools, systems and information to operate effectively, supported by greater automation and clearer priorities with aligned leadership and bringing new expertise where needed to accelerate our progress. This balanced approach leverages the strength of our existing organization and complements them with leaders who have deep experience in global transformations, sustained growth and consistent financial performance. With our finance organization, we're taking steps to elevate capabilities while ensuring continuity as we identify the right long-term financial leader for DENTSPLY SIRONA. As I shared at the top of the call, Matt Garth has departed the organization and a transition plan is in place to ensure continuity and maintain financial discipline. A search for his successor led by Heidrick & Struggles is underway. During this interim period, Board member, Leslie Varon, former Chief Financial Officer of Xerox Corporation, will provide governance and oversight of the finance organization in her capacity as Audit and Finance Committee Chair. In our commercial organization, we're sharpening our focus on the customer experience and market competitiveness. Under the leadership of Chief Commercial Officer, Aldo Denti, we're strengthening execution in North America and rebuilding the U.S. commercial leadership structure. This includes a search for a new U.S. VP of Sales and broader efforts to deepen partnerships, improve service delivery, drive customer loyalty. Coming from a distinguished career at Johnson & Johnson and given Aldo's experience in the orthopedic industry, he knows how to fix customer experience and to enhance our approach in competitive and evolving markets. We've also established a transformation office responsible for oversight of our Return-to-Growth plan. This office will advance our enterprise AI and automation strategy, fundamentally improving how we work. To lead this critical effort, Dustin Shields has been appointed Chief Transformation Officer, joining DENTSPLY SIRONA in December. Dustin brings extensive global experience in commercial and operational functions, integrations and business optimization, most recently at Globus Medical. Under his leadership, the transformation office will focus on delivering cross-functional improvements that enhance efficiency, agility and long-term value creation. We've also appointed a leader of digital transformation who will lead the integration of AI across our operations to increase speed, strengthen data-driven decision-making and improve the effectiveness of our support functions. Evolving operations to fuel innovation. With a commercial organization more closely aligned to customer needs and improved product development processes, we'll focus our investments on innovation that help clinicians enhance care, streamline workflows and grow their practices. In parallel, we'll continue to increase and accelerate R&D investments to improve the health of our commercial engine. We're also taking steps to enable our supply chain to move faster and go deeper than before to create stronger, more profitable and scalable manufacturing and distribution network, building on the ongoing work of the supply chain transformation team. This includes a plan to enhance operational efficiencies through: resource consolidation, standardized packaging, and establish more advanced planning and forecasting to favorably impact working capital and product costs. We need to further streamline our support department cost structures to optimize resources, processes and systems to reach benchmark efficiency levels, reduce complexity and release capital to be redeployed into our commercial and innovation priorities. This will be accomplished by implementing common processes, common systems and establishing regional support centers. This will include a significant reduction in legal entities and the continued implementation of SAP as our global ERP system. We plan on deleveraging the business through profitable growth and disciplined execution to drive improved EBITDA, working capital and cash flow to support future capital needs, debt reduction and shareholder returns. The Wellspect business will be a key role in achieving our financial goals. As previously announced, following an evaluation of strategic alternatives for Wellspect, we determined that retaining the business will deliver greater financial and strategic benefit to shareholders than the other options available. Specifically, keeping the business as part of our portfolio allows us to realize previous investments not yet monetized while benefiting from the strong cash flow generation and preserving optionality for future growth beyond dental. As evidenced by our recent results, we know how to penetrate this market and grow this business. Moving to Slide 9. In summary, we made progress over the past 2 years in footprint consolidation, SKU rationalization and resource streamlining. We need to move faster and act bolder to reshape the customer experience and strengthen our competitiveness in the dental market. I'm continuing to work through my onboarding to better understand the complete enterprise and market to set the appropriate financial targets, but we expect to be able to free up additional capital in our operational structure and products while reaching benchmark levels in our support functions and improve rep effectiveness. Accomplishing this will free up capital to invest in additional field-based resources, increased rep and clinical education, and higher levels of investment and innovation to drive growth and shareholder returns. I'll end my formal remarks with a statement I opened with. I believe the potential for DENTSPLY SIRONA has never been greater. I recognize that the company has undergone change over the last few years. The change has not been fast enough for you or the DENTSPLY Board. That is why I stepped into the seat at their request. It's time for bold change, and we're entering a new era for DENTSPLY SIRONA. One that's rooted in discipline, ownership, acting with urgency and a mandate to deliver results. Our Board of Directors and my leadership team believe deeply in our ability to reposition DENTSPLY SIRONA as the market leader it once was and will be again. We're committed to doing the work necessary to get there, even if it means making tough decisions. I couldn't be up for this more than anything in my life. I'm excited to do this and drive forward with this making changes. I look forward to keeping you up to date on our progress, and I'm committed to communicating with you in a direct and transparent manner every step of the way. Thank you. We will now open the call for questions.
Operator: [Operator Instructions] Our first question is from Elizabeth Anderson with Evercore ISI.
Elizabeth Anderson: I was wondering if you could maybe talk a little bit more about the U.S. market. I think based on what you put in the slides, ex the onetime items, it looks like it's still down about 10% year-over-year. So could you just sort of talk about where that is? Is that a result of the sales situation? Is it a lingering impact of the sort of prior Patterson situation? Just a little bit more color on what you see driving those shorter-term results would be very helpful.
Daniel Scavilla: Thanks, Elizabeth. I think it's really a list of many things. What I'm going to say is our focus in the U.S. from our structure and how we go at that competitively is one thing throughout the products. I think it's the relationships with the dealers that we need to make a move on. Honestly, getting deeper with the DSOs and more meaningful strategies. Many of these things all come together. It's not just one area. I really think it's more about our structural approach and our execution in the U.S. market and how we, as an organization, can give our team the better tools to do that throughout the portfolio in a better way. That's really what the return to health plan is about is addressing what I see as shortcomings that we can allow to continue and drive improvement in each one of these segments with a deeper focus through structure and funding.
Operator: Our next question is from David Saxon with Needham & Company.
David Saxon: So I just wanted to ask on this returning to profitable growth kind of framework over the next 24 months. I guess how should we think about the cadence of getting to growth over that 2-year period? Is that kind of -- should we think about flat next year? Or any guardrails around 2026 growth? And then just in terms of that target of growth, like is that absolute growth? Or is that market growth? Would love just some more color there.
Daniel Scavilla: David, I appreciate the question. Listen, my desire is to Return-to-Growth tomorrow. I would say don't model that just yet. What I do need is a little more time. We're going through the 2026 plan now, and I'm really working with every department in every country to do this with the team. So give me a little bit of time to come back at this. I will tell you, it's not a January 1, everything is rosy, but it sure can't be that you're exiting the year the same way. And so how we lay out those sequential improvements, I need a little more time to refine, but I require that we have sequential improvements as we get through the year. I just need more time to figure out when I can tell you with confidence when they begin at what section of next year.
David Saxon: Okay. And then just in terms of capital allocation. I believe you talked about deleveraging in the script. So can you just remind us your philosophy around capital allocation, and specifically on the dividend, like how important is that? Are there areas in other parts of the business or mechanics that you could direct that cash?
Daniel Scavilla: Yes, you got it, David. And listen, I think that is a legitimate question. I think discussing dividend and its value is something we need to explore further with the Board and with the shareholders to understand how important is that in adding shareholder value and where could that be used differently. The main tool of deleveraging isn't buying down the shares. We're actually retiring debt. To me, it's about growing the business first through the U.S. and then consistently through the rest of the world, to raise EBITDA so that your ratio changes. I really think it's more about growing that piece of it, the denominator, if you will, that is the health of this. And yes, with that, comes better profit, better cash flow, which we then can and will, at some point, redeploy into debt retirement and when needed, share repurchase.
Operator: Our next question is from Jon Block with Stifel.
Jordan Bernstein: It's Jordan Bernstein on for Jon. Just on the R&D aspect of the Return-to-Growth action plan. You heard some recent comments from you about trying to take that number up and accelerating investments in R&D. Just if you could talk through that dynamic? And is that a multiyear type of acceleration and where your heads are at for the R&D organization?
Daniel Scavilla: Yes. Great question, Jordan. So a couple of thoughts here. One of the reasons I'm adjusting down EBITDA now for this year is we are pulling forward millions of dollars of R&D investment into the fourth quarter that will help us position better strength in '26 and beyond. And so we are beginning that. I would like to get up to the right benchmark. I know we've always talked around 6% to 7%. We'll evaluate that. It's probably a likely thing. I'm not sure we can get there in one fell swoop. I am looking at that now. And while I have the desire and we will increase the investment in R&D, I'm also going to look deeper with the R&D leadership to make sure we're spending it efficiently, and that we are spreading it out to make sure that we mitigate risk. So there's a couple of steps there as well of are we really spending the dollars we have today in the best way. And then once we have that in a good spot, how do we increase it in a way that maximizes the output for the market and for the shareholders.
Operator: Our next question is from Jeff Johnson with Baird.
Jeffrey Johnson: Dan, maybe I could just follow up and stay on the track you were just on, on the R&D side and really the OpEx side. If I look at the guidance takedown for this year, I mean, no real surprise to see a new CEO come in and kind of flush the current year out, and I think all that makes sense. But it looks like maybe your OpEx spending, R&D included going up maybe $50 million in the back half of this year to kind of get to that new guidance range. Is that something we should think about as $50 million in the second half of this year up, and so we carry that over to another $100 million next year, just to annualize that. Is that kind of the new run rate spend? And if it is, I know you're nowhere close to talking about 2026 at this point, but the Street is hanging out at like 16% EBIT margin. It feels like to me, if you have to take OpEx spend up 2 to 3 points, maybe we should sharpen our pencils on that 16% op margin.
Daniel Scavilla: Yes, Jeff, again, I appreciate that, too. And like I said, let me wrestle through 2026 with the team and see. The real thing I'm doing right now is taking a loan to increase investments so that as we go forward and we find efficiencies, we can actually make it self-funding. So I don't think it's a new add-on top thing. It's -- say, I'm going to pull some money up now, get this engine running. And as we find efficiencies and redeploy it, I'm going to expect to see decreases over time in those OpEx numbers with an increase in EBITDA. But again, to jump start it, I'm going to pull down, as you just said, some EPS, investing in the right areas so that we can start delivering these efficiencies I've talked about as we get through 2026 and into 2027.
Jeffrey Johnson: All right. Fair enough. And I've been jumping between calls, so if you asked us to hold the one call or question, I apologize. But I'd like to hear on the European market. I don't know if you're still doing some of the surveys that your predecessor was doing. But some of our checks, and I think even if we look at 2Q results from some of the manufacturers and the dealers out there, it seems like the European dental market has maybe gotten back on a little bit better footing and really even the international market ex-Canada. So I would love to just kind of hear your overall overarching view of the international markets at this point, market more so even than your performance in the quarter.
Daniel Scavilla: Yes, you got it. So a couple of things. We do our surveys every 6 months. We didn't do it for the third quarter with that. But nonetheless, we didn't see any drastic shifts from where we had done before. And anecdotally, as I was out in the field and talking with people. A few people said it would slow down, a few people said it's speed up. So I'm going to kind of call it as kind of normal and nothing changed. The European side is interesting because while I do think it may be improving, I think the credit of the growth in Europe really goes to our leadership team. I think the person leading it is a fantastic leader, who has done a great job organizing the resources cross-functionally and driving growth. I think the cadence is improving. And I really think it's more about the approach that team has taken, which, to be honest with, I'm looking at as applicable to the U.S. and it's pretty much included in these points I laid out. Therese, we can move to the next one, if we're not hearing the question right now.
Operator: Our next question is from Erin Wright with Morgan Stanley.
Erin Wilson Wright: How are you thinking about your relationship with distributors? I think you talked a little bit about kind of supply chain in your prepared remarks, but how does this intertwine with some of your strategies around return to growth and profitable growth? And are you entertaining more of a hybrid approach or not? What makes sense over the longer term? And I'm sure there's still stuff that's up in the air, but I'm curious your view right now as it stands.
Daniel Scavilla: Yes. Thanks, Erin. Listen, I think like many people in the market, we need to look at this with open eyes, and I think there's several ways to get there. In my prepared remarks, I called out a multichannel approach. And so what I am signaling is, we have direct businesses, and we intend to keep those and go more direct in those areas and support them holistically. Anything with our disposables that we use, I'm saying, I think that's fine. I'm not looking to make any meaningful shifts there and keep those alone. But reengaging with dealers, Schein and Patterson, when I say that, and new dealers, which I won't call out at this point, so that we have a broader reach and more presence, I see that as the model that we need to use to go forward. I have personally spoken with all of the CEOs. We have these in play. I'm not going to comment further on that because they're all at several different stages of maturity with where we can line in or not. But I would envision us next year having that locked in, in a way that is beneficial for everybody.
Operator: Our next question is from Vik Chopra with WF.
Vikramjeet Chopra: A couple of questions for me. So on this Return-to-Growth action plan, Dan, I appreciate it's early, but can you just talk about some of the key milestones that you will use to measure success for each of the pillars? And then I have a follow-up, please.
Daniel Scavilla: Yes. Vik, you got it. So let's start with the -- obviously, a focus on the U.S. market there. I'm really setting out metrics, which are obviously going to be stabilizing sales and then returning into growth over some period of time. It's going to be one of the key metrics. Doing that by actually hiring out and retaining reps is going to be a key one. The rate of training we do for not only the rest but our clinical partners as well will be another key metric through these investments. So as we start training more and seeing more of both the field and the dentist that's going to be key. Holding on to them is going to be key. Seeing the sales turnover as a result of that is going to be one of the major moves that I see. And I didn't mention this in my prepared remarks, but having a stronger presence in universities and teaching institutions is a focal point as well to create those long-term seeds. And now while we're there currently again, we need to go deeper there and be more present to create that longer-term health. That's really one of the things. I've already called out what's almost finished when it comes to the organizational build to supplement a great team with even stronger talent that's out there that way. I think with the supply chain and operations, there's really a couple of measures there. We're going to see a lift in gross profit naturally as we get through these things. And certainly moving facilities or people and all that take a longer term, that doesn't pop within a quarter. With the R&D, we'll see it as a percent of sale and product launches. So I think they're really the main ones, right? If we know how to free up cash and we see changes where we can redeploy this. We watch the sales stabilize and grow. And as a result of that, we see the profit lift through our customer experience. I think they are the ones that I'm trying to wrap around now, make sure the team is aligned with that in a simplified way, so we know how to react faster and move and address these as needed.
Vikramjeet Chopra: Great. I appreciate the color. And a quick follow-up question. You recently appointed Aldo Denti as your Chief Commercial Officer. Just curious to get your early thoughts and what impact do you expect him to make over the coming months?
Daniel Scavilla: Yes. Thanks, Vik. So Aldo is honestly a great one. I had the opportunity to work with him side by side when we were in Johnson & Johnson Vision Care. And that company needed a turnaround. And we had come in with several people, and we're all part of bringing that back to the strength that it had. And he was driving force of that in the commercial side of that coming in. Again, his role in Orthopedics in J&J, which is no small task running that really had a lot of activity. So bringing that strength and that experience with a known person to come side-by-side with me is really important to me. I think that his drive to actually create a focused, trained and well-resourced commercial team is going to be one of the keys here. I think that his professional approach out with dealers and DSOs will be a lift for us. I think, again, he's a main ingredient.
Operator: Our next question is from Michael Cherny of Leerink Partners.
Ahmed Muhammad Rahat: This is Ahmed Muhammad on for Michael Cherny. I appreciate color on the Return-to-Growth action plan and fully understand that FY '26 planning is still underway. But if you think about things bigger picture, which areas of your business do you think are best positioned to start stabilizing growth both from a competitive and innovative standpoint?
Daniel Scavilla: Yes, it's a good question, and my easy answer is all of them. But at the end of the day, each one of these requires a different approach. So the CTS move is more about getting the dealers lined up, trained and out with us. I think the biggest part of changing both customer service and technical service under one team and one focus be a major lift and not only the ongoing customer experience, but new customers through the implementation of capital and training. And so those things are going to be one of the big return to health type of items. I think setting up implant strategies and how we can get the right training and the right holistic approach and using DS Core as one of the drivers of that will be a major thing to go through. And while strong in EDS, making sure that we continue to have the right investments in Endo. The right training with those type of things throughout EDS are all going to be key to actually lifting them up. So really, if you ask me, is 1 more important than the other, the answer is no. That's the benefit of having a diverse portfolio, and it's well balanced, but they all require different approaches, and they're all addressed in this plan.
Operator: Our next question is from Michael Sarcone with Jefferies.
Michael Sarcone: I'll ask my two upfront. Just first, can you talk about the characteristics you're looking for in a new CFO? And then just related to that, Dan, I guess, how do you think about your guidance philosophy right now? And do you expect that may change as you bring on a new CFO?
Daniel Scavilla: Michael, good question. Looking for main attributes of CFO, and I'm not saying that the person before didn't have these, but what I really need right now is a person who can dig down into the data and get the meaningful metrics that we need. And then in a consistent fashion, communicate those and educate the team to follow those to go. Right now, we have plenty of data, but how we use it isn't the best way. And so I really need someone to harness all of that power to create the focus we need, to show the metrics and driving this return to health thing. That's first and foremost. An enterprise leader right now, who has deep experience throughout so that they can look at this and work with all of us to guide us through and help us do it, it's going to be one of the key factors that are out there. So it's kind of both, a broad person with a lot of strategy who can dig very deep and use numbers and make sure that everyone understands and follow us along, communication is going to be key. Guidance strategy, I would say, look, where I came from, I'm going to follow that when we get this back to health, right? It's one of those ones where we put out conservative estimates with the goal to beat and raise as we go forward, demonstrating a cadence of sustained profitable growth. That's ultimately where I want to get to. I don't think that would change with a CFO coming in. I think that's got to be the mantra of this company going forward. We need the right person to fit that approach.
Operator: The next question is from Allen Lutz with Bank of America.
Allen Lutz: Dan, you mentioned a lot of different investment areas in your prepared remarks: global customer service and technical service organizations, clinical education, shifts in regional spending. I would think that not all of that spending is going to take place in the fourth quarter. Can you talk about what you are spending money on in the fourth quarter? And maybe what we should expect to start in 2026?
Daniel Scavilla: Yes, it's a great question, and thanks for it. So listen, there's a couple of things, and I won't lay out every single put and take here for you, but there are big moves that we need to make contractually to free up some of the things that we have done historically that don't make sense these days. Some of those will involve some penalties that we're going to pay in the fourth quarter to create freedom to free up cash as early as the first quarter. So I'm taking a few hits to free up some strategic moves that allow us to go into that right away into next year. In the fourth quarter, there is an acceleration of R&D that I have set up to go. And while we don't have the execution of clinical education, establishing those programs and putting in place anything that we can do for that is there. So what I would tell you is some acceleration in R&D, a little bit of prep work in the clinical side. You mentioned customer service, tech service, that probably won't have an impact in the fourth quarter because they are existing people we are reorganizing. And we're beginning to recruit, but most likely will be negligible in the fourth quarter, more prominent by the first half of the year is really where I'm going with that.
Operator: Our next question is from Brandon Vazquez with William Baird.
Brandon Vazquez: I just want to ask kind of a high-level question on kind of the initiatives you laid out here. Obviously, encouraging to see kind of an action plan here. But the story has been a bit of a -- it will be -- this is my phrase, maybe not yours, but the story under the prior management team has been a turnaround story. And then a little bit now, it looks like, once again, again my phrase, a bit of a turnaround story again. Many of the initiatives here feel like ones that we've been focused on for years, frankly, like getting closer to the customers and supporting them, improving efficiencies. So I guess what would be helpful is can you just talk a little bit at a high level about what of these initiatives do you think are incremental to what has been attempted to turn things around at DENTSPLY SIRONA in the past couple of years that you think will start to eventually lead to some more durable improvements?
Daniel Scavilla: Yes. I think that is a great question. And so I'll give you a couple of thoughts, right? There is no doubt that the customers, the employees and the Board are tired, right? There's fatigue coming through with these words and not quite getting where we need to go. My assessment would be, while there are many right things that were done in the past, I feel like we were trimming branches when we should be cutting down trees. So when I talk about going faster, bolder, deeper, I think that's really what I mean with that. And a lot of these things were in the right move, but not deep enough to go. And I think Aldo and Dustin and I have experience in these that we can bring in. But I don't know, was there as strongly as before. Now there's great folks on the team who are already in place. But I think the real thing is to drive deeper and push there. And it is a turnaround story. And the goal for me isn't to convince you why we know how to do this or that I'm the guy, I'm going to prove it to you through results. We just got to get past the talk and into the action. And I think there's enough talk that's been done. It's time to start getting this done through execution and pointing to the numbers as opposed to saying where we'll be.
Operator: Our next question is from Kevin Caliendo with UBS.
Dylan Finley: This is Dylan Finley on for Kevin. Wondering if you could talk a little bit about Implants. You go direct there, so not necessarily impacted by your relationships with dealers in that area of the market. What are the specific pain points that you're facing there today? And why do you think your predecessors have not been able to close the gap within the market?
Daniel Scavilla: Yes. Again, good question. I can't answer why people before me did or didn't do things because I wasn't here. So I'll focus really on where we're going to go from here. I don't think we have the right amount of reps present throughout the world. I'm not convinced they have the right training. I don't believe the branding and coordination is laid out in the way that can add strength. I don't think we're leveraging some of the other infrastructure like a DS Core type program that we have to benefit these. I think all of those have to occur with a significant increase in training not only of the reps, but of the dentists, of our products, and quite frankly, in that area, we need to be present. It's honestly not that different than orthopedics, where you need someone there in the room, someone well trained, who can offer a lot of optionality out for the dentist. And I think we've got to take that type of model and apply it more effectively here than it has been done in the past.
Operator: Thank you for your question.This concludes the question-and-answer session. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.